Operator: Good morning, ladies and gentlemen. Welcome to the Canadian Energy Services & Technology Corp. conference call and webcast with respect to the recently-announced fourth quarter 2013 results. Presenting for the Company today will be Mr. Tom Simons, President and Chief Executive Officer, and Mr. Craig Neiboer, Chief Financial Officer. Please be advised this call is being recorded. A question and answer session will follow the end of the presentation. I would now like to turn the conference call over to Mr. Craig Neiboer, Chief Financial Officer of Canadian Energy Services & Technology Corp. Please go ahead, sir.
Craig Neiboer: Good morning, everyone, and thanks for attending the call. Before we start I’d like to note that in our commentary today there will be forward-looking financial information and that actual results may differ materially from the expected results due to various risk factors and assumptions. These risk factors and assumptions are summarized in our AIF dated March 13, 2014, in our Q4 MD&A, and in our Q4 press release. In addition, certain financial measures that we will refer to today are not recognized under current general accepted accounting policies and for a description and definition of these please see our fourth quarter MD&A. At this time I’d like to turn it over to Tom Simons, our President and CEO.
Tom Simons: Good morning. I’m going to provide listeners with an operations update today. I’ll talk about our outlook. Craig will give a financial update and then we’ll be pleased to take questions. I’ll start with Canadian mud. Obviously the company had a very nice fourth quarter. We’re pleased with overall the performance on an annual basis in 2013 and a big piece of our success and current momentum is what we’re doing in the Canadian drilling fluid market. As we showed in our release, we’ve been able to pick up market share in Canada in the Deep Basin where operators are drilling the Montney, drilling the Duvernay, drilling other plays like the Doig. We’ve had gains in market share that we would attribute to new technology. As people familiar with the company will know, over the last year we brought a salt system to the market. We called this system EnerCLEAR. We’re using a lot of proprietary chemistry in this system to manage corrosion, manage torque and drag affriction. Effectively what we’re doing is building high-density brines to allow our customers to drill over-pressured formations that ordinarily would drill very slow. This technology is saving our customers money and it’s winning the company new business. Another contributor to market share gains in Canada is our oil sands business. We had a very strong quarter, also a very strong start to 2014. We would attribute that to technology that came across from the Tervita acquisition that we did a little over a year ago. Certainly also the talent that came with that technology. I’m happy to note that we’re going to introduce new technology into the carbonates heavy oil that’s about to be drilled there by a customer. We acquired some IP and the services of a Ph.D. chemist over the winter. We’re going to use that technology shortly so we think we’ve got another tool in the toolbox that can help us stay the market leader in the oil sands. Heavy oil has been, all winter, a very strong market for us, so places where operators are drilling horizontal wells where they got cold recovery of their production, so they don’t cycle steam. We’ve got proprietary technology there that works. It’s recognized in the market and continues to be a tool for us to win and maintain business. In Southeast Saskatchewan and Manitoba we remain the market leader in the drilling fluid space and that has been a great launch pad for us to have started PureChem and continue to build on it. About PureChem, during the quarter we continued to add talent across Alberta. About a year ago we brought a gentleman in to be general manager for PureChem in Canada. Dave has done a great job finding us the right talent as we’ve been able to build a company that can offer science, offer products that solve problems. We see a lot of upside in the emerging Duvernay play for ourselves, we see a lot of applications for our patented H2S scavenger in the Canadian market through PureChem. We’re working on strategies to penetrate the oil sands and heavy oil. We think we have a lot to offer customers through our ability to manufacture in Kansas. Clear had a great year and a great quarter. What I would tell investors is the water management is going to be the story for Clear going forward. We think we can grow this part of our business as our customers face increasing scrutiny and concern over how they manage water. Equal was a steady supporter of the business. It’s really internal infrastructure that’s profitable. We truck our own products to the rigs. We don’t want to be in the infrastructure business necessarily or equipment business but this does allow us to be highly responsive to our customers and for us this is strategic decision to help us differentiate and look after our customer. In the U.S., vertical integration is going to be the key to future growth, we believe, in AES. Through the quarter and through 2013 we had steady market share. We saw a bottoming out, we think, in the northeast, in the Marcellus and Utica. We did experience gains in other markets to offset. We’re hopeful that through 2014 we’re going to see some return to activity in the Northeast U.S., which is a strong market for us. We’re very excited about West Texas. Our organophilic clay plant, it’s a piece of infrastructure that we’ve constructed in Kansas, it’ll make the viscosifier for all of our oil-based muds that are used across North America. This is one of our key inputs and generally there’s been pretty tight conditions in the market to acquire that product as drilling has went horizontal and deeper in the last five years. We’re going to do a commissioning of that plant in late Q2 or Q3. We’ll do trials of running it over the next couple of months. As we make that vertical integration step we believe that’ll be something that will allow us to grow in the U.S. and it’ll put margin on our books across the company. Our barite mill, we are finally constructing that facility. All the delays have been bureaucratic in nature, they have not been construction related or AFE related. Just simply getting through the port authority in Corpus and being able to turn dirt. The summer of 2014 is when we’ll be taking barite out of that plant. That plant of course is going to crush or pulverise barite or heavy rock that we bring in by ship from China and India. We put that heavy rock in drilling fluids to change the density so that operators can drill over-pressured formations. We’ll be producing oil-based mud in West Texas we think in early April. That’s a little later than ideally we hoped last summer. We think that that has been a bottleneck for us to have good growth in that market so we’re excited to be coming on line with that. We’ve been supplying our customers from eight to ten hours away out of facilities that support either the Eagle Ford or the Barnett. We think that that’s probably given pause to our customers that support us in a bigger way in that market so we’re excited and expect to see good things through the rest of the year in West Texas. About JACAM, JACAM continues to perform very well. We’re working on geographic expansion of JACAM. We’re now selling product into the Eagle Ford, and something that is very nice and part of our overall strategy is that we’re using our Pleasanton mud facility to stage those chemicals so once we compel the customer that we can solve their problems and use our chemistry to do it, it’s obviously been very nice that we haven’t had to spend money on infrastructure to start selling. We’re very close to selling solid chemistry in the Northeast U.S. We think this is a great example of solving our customers’ problems through science using unique things that we can do to gain new markets. That leads me to update callers on solid chemistry. The expansion of that manufacturing part of our business is done. We’ve kind of taken the handcuffs off sales in promoting that product line. We think that that’s going to be a great door opener into new markets. Our hydrogenation expansion will happen later in 2014. We continue to be working on that. That will allow us to be more basic in more of the inputs into our chemistries. It’ll contribute to lowering our cost of organophilic clay. That’ll be a significant step for the business. Overall our operation strategy of course remains to solve problems through science to win new business, to vertically integrate our business, to maximize margin, and be able to best support our customers. Towards that end, we recruited a world-class scientist in the first quarter. Dave has become Chief Technology Officer for the company. His mandate is to vertically integrate what we have as a business. We believe that him and his team will also help us recognize new opportunities, bring new products to market. Our strategy to grow our business of course is to geographically expand. West Texas is an important part of the production chemical business. I think people can expect us to be in that market in the next couple of years. We think that ideally the strategy is to look for somebody that’s in business there that we can backward integrate. That would be boots on the ground with existing relationships. We are pleased that we’re in the Eagle Ford now and think we can continue to build on that and are pleased about imminent business in the Northeast U.S. Our view of sort of macro conditions for our business is pretty favorable. Historically our customers spend all of their cash flow plus what the capital markets will fund so we’re pretty optimistic about the second half of 2014 because of natural gas prices. We think that our vertical integration initiatives that’ll come on line in the second half of 2014 are positive for the business and as an oilfield service company I don’t think you could emphasize enough how important it is that we’re focused and motivated. In our business that matters a lot. At this point I’ll turn it over to Craig and then we’ll take questions.
Craig Neiboer: Good morning once again, everyone. Q4 represented all-time record financial results for the company, so we’re all very pleased here. Gross revenue of $200 million, just over $200 million, versus $95 million for the comparative quarter in 2012, so more than a double year over year on the revenue side. From an EBITDAC perspective $36.5 million, once again an all-time record for our company, versus $10.1 million from Q4 in 2012 more than triple the Q4 number, so very impressive results. And, as Tom has detailed, that performance has been achieved by outstanding results from all of our different facets of our business, so we’re firing on all cylinders. All this added up to a record year in 2013 with $662.8 million of revenue and $109.8 million of EBITDAC. This momentum, as Tom has described, is carrying into 2014 and, as such, we are reaffirming our 2014 guidance of $760 million to $820 million of revenue and $135 million to $150 million of EBITDAC. With the positive outlook and the strong balance sheet we are also increasing the dividend for the ninth time since our corporate conversion on January 1, 2012 from $0.065 per month to $0.07 per month or $0.84 on an annualized basis. Our increasing monthly dividend, in our mind, is proof positive to our free cash flow business model and our ability to grow this business while at the same time growing the free cash flow per share of this business. At this time we’ll turn it over for questions.
Operator: Thank you. Questions will now be taken from the telephone lines. If you have a question at this time and you are using a speakerphone, please lift the handset before making your selection. If you have a question, please press star one on your telephone keypad. If at any time you would like to cancel your question, please press the pound sign. Please press star one at this time if you have any questions. There will be a brief pause while participants register. Thank you for your patience. The first question is from Steve Kammermayer with Clarus Securities. Your line is open. Please go ahead.
Steve Kammermayer - Clarus Securities : Hi, guys. Congrats on the quarter. Just on the Canadian market share gains in the quarter, so I understand a lot of that was from increased oil sands work as well as your new salt system, specifically on the salt system, has that become generally accepted or is that still sort of going through a testing phase? And then how has the market share trended into Q1 here so far?
Tom Simons: I would say, Steve, that in certain shops, so E&Ps, it’s an accepted technology, but there are certainly a lot of places where that’s still unproven. We are not saying that that technology can be used in every play everywhere to drill faster. We’re working with new customers regularly to sort of stretch the geographic areas that we think it applies. You do have to be selective. We’ve had some of the, call it, mom and pops in the mud business in Calgary run brines for people and they haven’t been able to manage corrosion, they haven’t been able to clean the hole very well or manage torque and drag very well, and that’s given some operators sort of reason to pause. Corrosion control is critical with this stuff. We are able to demonstrate that we can successfully do that. So I’d say it’s probably early innings still for that technology but it’s not going to be run everywhere. We need to give our customers good advice on where they should use it and where it’ll save time and money.
Steve Kammermayer - Clarus Securities : Okay. And, sorry, just on the market share trend into Q1 here. So I imagine that you’re still, well, you’re still testing the salt system, so how has that trended into Q1 versus Q4?
Tom Simons: On Canada we ran well above 200 jobs through January-February. Of course that’s coming off as delineation in the oil sands is all but shut down now and guys are starting to rack to some rigs. I think today we’re at maybe 150. That number is going down as we get closer to break-up. But depending which rig count you track, whether it’s Baker or the other different groups that put out rig counts, we continued to be in the 30s for market share in Q1.
Steve Kammermayer - Clarus Securities : Great. And maybe just switching gears here a bit to the JACAM, so when you guys acquired it the best-selling product, I guess, as you said, was the anti-corrosion inhibitor, and that’s since turned to the H2S scavenger. Can you give us a sense just those two products, how big a piece of JACAM those two products would be? Is it near half or were you closer to, you know, 25 percent?
Tom Simons: Well, corrosion control continues to be the leading sort of product sale in JACAM. The new H2S scavenger has certainly come up the ranks, Steve, but it is not the number-one selling product. And, to be clear, we sell different chemistry for corrosion in different markets. Things are customized to sort of either what the play is or what the conditions are underground. So there’s different formulations of those products that go into different places would be the answer. The company has over 400 products, 30 of them approximately with patent protection, so we don’t have a concentration that would be excessive of one or two products. So your corrosion control H2S treatment, if it’s 15 or 20 percent of the business, maybe a little more than that would be an estimate, but you’re generally not treating just one problem on a well, you’re treating a lot of problems.
Steve Kammermayer - Clarus Securities : Okay. Okay, that’s great. That’s all I had. Thanks, guys.
Operator: Thank you. The next question is from Jason Sawatzky with AltaCorp Capital. Please go ahead.
Jason Sawatzky - AltaCorp Capital: Hi. Good morning, guys. Tom, just to, I guess, follow up a little bit on the last question there just on EnerCLEAR, obviously, you know, strong Canadian results, gaining market share. Is there a way to quantify how much EnerCLEAR actually contributed to those results in the quarter?
Tom Simons: Well, there is for us but there isn’t that we would break out. You know, we continue to think that the responsible way to run the business is to report our results kind of as one segment that’s supplying oilfield chemistry, but it’s been very positive for our customers but it’s also been positive for our business.
Jason Sawatzky - AltaCorp Capital : Okay. And obviously, you know, very successful in the Montney, you said it’s not applicable maybe in all plays but is there another play other than the Montney that you’ve seen good success with that product?
Tom Simons: Yeah. We’re running it in the Doig with good results. We believe, used appropriately, it could have application in the Duvernay. What we need is very consolidated formations that require high-density drilling fluids, which typically would be oil-based mud, and we can replace an oil-based mud that’s laden with solids, which is what all the weight material is, the heavy barite, dissolve salt in water and as long as you can control corrosion, clean the hole, and oil wet the pipe in the hole to relieve torque and drag you can drill these wells with no solids at the face of the bit, which will make them drill faster. But there’s a lot of science to it. It’s pretty laborious at the rig. So we think the Duvernay offers application opportunity for it. The Montney continues to be the place that it’s most utilized.
Jason Sawatzky - AltaCorp Capital : Okay. Then just looking at the oil sands, can you remind me if you guys are selling the production chemicals into the oil sands yet?
Tom Simons: No, we’re not.
Jason Sawatzky - AltaCorp Capital : And what’s the timeframe, do you think, for that?
Tom Simons: Well, we’re working on strategies to do it. It’s a market that’s sewn up by the top two or three people in the industry. So of course, you know, we’re hitting on our drilling customers. We think the addition of Dave, our top scientist here, our CTO, is going to help us, I think, Jason, probably this year. But that’s a business, that’s a sector of the industry that the customer, you know, it’s not work that’s called over the back of a pick-up like certain places in the production chemical business. Obviously operators are making massive investments. The problems there around corrosion, H2S, scale, clarifying water, they’re very significant, so guys are playing for keeps, so you need to be able to demonstrate to the customer that you can look after them in the field and, you know, we need someone to be the first guy for us and then build on that.
Jason Sawatzky - AltaCorp Capital : Okay. Okay. And then, just final question, just looking at JACAM, I know you guys were working on a new product that removes sulphur and I think you were going to be targeting the refining industry, just wondering if there’s a status or an update on that product.
Tom Simons: Still working on testing. Not even close to any commercial sales. We’re working with a couple industrial chemical companies to verify our own findings and probably look to work on improvements on the performance of the product and then see if we can commercialize it. It’s very early days. I’d caution people not to think that we’ve changed the energy business. It’s something that we see promise with in our lab but there’s probably a ways to go yet.
Jason Sawatzky - AltaCorp Capital : Okay, great. Thanks for the colour, guys.
Operator: Thank you. Once again, you may queue up for questions at any time by pressing star one. The next question is from Greg Colman with National Bank Financial. Please go ahead.
Greg Colman - National Bank Financial : Gentlemen, just a few quick ones here. I think I heard in your prepared remarks, Tom, that in JACAM you had just started selling some of the solids chemistry into the Northeastern United States. Just want to confirm I heard that correctly.
Tom Simons: We’re on the verge of it, Greg. We’ve got a live customer that wants it. They’re buying that technology or product line in other places. We also work for them at the drilling rig. So about three, four weeks ago JACAM people were up sort of sizing up where we should stage this stuff. Some of that will occur in our two mud facilities, one which is in the middle of Pennsylvania, the other at the northern piece of West Virginia. So we expect that to happen before the end of the quarter.
Greg Colman - National Bank Financial : Okay. And just staying on the—sorry.
Tom Simons: That’ll be the first revenue for us, call it, at the well head in the Northeast U.S.
Greg Colman - National Bank Financial : Okay. Staying on the solids chemistry there, where are you currently selling it? Where is it currently being distributed to?
Tom Simons: It’s being used in Western Canada with very good results. Pretty much all the markets that we’re in in the Lower 48 in production chemicals it’s part of the product mix. It’s a piece of the business that JACAM kind of had a governor on because they were limited in production. We have three of the four reactors up and running that we expanded and so the handcuffs are off and guys are out using it as a tool to solve problems. We think that there’s going to be great application of it in West Texas as we sort of, you know, punch the ticket on a strategy there, Greg, and try and go into that market. We actually supply a little bit of it on a wholesale basis to some retail production chemical guys out there. We think it’s going to be a big tool to help us go into new markets. So it’s everywhere that we’re in the production chemical business.
Greg Colman - National Bank Financial : That’s great. On the reactor side, with three of four up and running, how does your current productive capacity of the solids compare to the productivity capacity you had prior to getting these reactors, when you were sort of doing it almost artisanally?
Tom Simons: Well, each reactor of the four is twice, the kettle size is twice as big as the previous reactor, so in theory we’ve added eight (X).
Greg Colman - National Bank Financial : And where would you say you are? Are you back to capacity constrained now with or are you back to capacity constraint now with the three of them up and running or do you still have some runway with these new reactors up there?
Tom Simons: Oh, not even close. I wish that it went that fast, Greg, but no, not even close. The reactors are not running 24-hours a day. So we’ve got lots of room to grow sales and not hit a wall again.
Greg Colman - National Bank Financial : Okay, great.
Tom Simons: And, as you saw from being in that building, if we see that that stuff is exploding in sales we have the ability to put some more reactors in that building.
Greg Colman - National Bank Financial : Great. Switching gears a little bit, just looking at more macro picture, how does your current view on the, ah, your environment for, like the commercial environment for your entire business look compared to the view that you had as management team November on the last conference call?
Tom Simons: I think it’s better because internally, you know, we’re a little further ahead in integrating our different pieces of our business that we brought in last year, JACAM and Venture Mud in the Permian. We’ve got more talent on the ground in Western Canada to sell production chemicals. I can’t emphasize enough the significance of bringing in Mr. Dave Horton to be Chief Technology Officer of the company. He’s a world-class scientist. We think that’s going to be significant in the long term for us. He has significant expertise in building frac chemistry. So in terms of what we can control I’d say we’re more optimistic and I don’t think it’s oversimplifying it to state that our customers historically spend their cash flow and if it’s going up probably activity for oilfield services is going up.
Greg Colman - National Bank Financial : So then just if I could summarize, internally on your controls you guys are more optimistic. From a macro perspective, things you can’t control, appears to be more optimistic as well, and just drilling down to your unchanged EBITDA estimates wondering why everything is looking better but you’re still guiding to the same range as you did before.
Tom Simons: Being prudent with our business, Greg, we, you know, I think we have a business to run, not a share price. I mean that respectfully to people or analysts that are optimistic about the business. Same reason that we’re conservative in how we change the dividend when we’re able to do that. We’re confident that we’ll make our guidance and as we see more rigs go to work, as we see more product going in the ground through JACAM and PureChem maybe we look at that, but we need to know before we would change something like that. It’s my speculation that things would be better but we just want to be cautious in how we run the business.
Greg Colman - National Bank Financial : No problem. That’s all for me. Thanks a lot for the colour, Tom.
Operator: Thank you. The next question is from Heiko Ihle with Euro Pacific Capital. Please go ahead.
Heiko Ihle - Euro Pacific Capital: Hey, guys. Congratulations on the quarter. Well done. Can you just walk me through the geographic footprint that you guys foresee for JACAM in two years? I mean I know you were talking about some market share expansions earlier on the call. Just, you know, one or two years from now what should be different please?
Tom Simons: Well, ideally we’re more built out in the Eagle Ford, we are live and selling production in the Northeast U.S., and certainly have penetrated West Texas, the biggest, you know, probably market for us that’s untapped. And then in Western Canada we hope to be in the oil sands and heavy oil market and be working in the Duvernay and some of these other deep, prolific plays. So we think there is lots of room, Heiko, to expand the business geographically and basically fill that plant in Kansas, which is obviously very underutilized at 20 percent or 25 percent capacity.
Heiko Ihle - Euro Pacific Capital: Which is slowly, I mean we certainly build into our model the excess capacity you have. Now Q1 has another two and a half weeks to go, can you just sort of, and I’m not asking for exact numbers, just sort of walk me through growth in Canada versus the U.S. compared with your expectations thus far the past two-and-a-half months please?
Tom Simons: Well, as I said earlier, we continued to run a strong sort of share of the Canadian drilling market. We’ve been able to start selling more chemical through PureChem in Alberta. I do need to highlight that in the production chemical business you put talent on the ground and then build the business around, so the build out of that business on a profitability basis is lower margin until you’re kind of done building our your network of talent and staging areas and then you fill it with sales that are generally very recurring. In the U.S., we think we’ve hit a bottom in the Northeast U.S. It makes sense to me with gas prices coming back. I don’t think operators are going to shift their budgets on a dime and go back to work there but we think probably people are sort of done the attrition that’s happened there. We think that we probably need to populate our U.S. drilling business with potentially some new sales talent. I think we’ll be successful recruiting that kind of talent because we’ll have a vertically-integrated business model to offer our customer, reacting our own chemistry, grinding our own barite, producing our own organophilic clay. I think that makes us a place that’s reasonably easy to be successful when you’re trying to market our services. And the organic build-out of JACAM in the U.S. continues to go pretty well. It’s the same as PureChem; to go into new markets you put people on the ground and then build the business around them. So you’re taking on overhead ahead of the revenue.
Heiko Ihle - Euro Pacific Capital: Right. That’s a fair answer. Thank you so much for the questions. Again, congratulations on the quarter and talk to you soon.
Tom Simons: Thank you.
Operator: Thank you. Once again, please press star one if you have any further questions. The next question is from Jeff Fetterly with Peters & Co. Please go ahead.
Jeff Fetterly - Peters & Co.: Good morning, guys. On the Canadian side the six point gain in market share sequentially, how much of that is oil sands derived and how much of that would be more conventional deep basin or Montney derived?
Tom Simons: I’m not being coy, Jeff, I’m not sure if I know the exact numbers. We ran, say, a dozen SAGD rigs through the winter and, gosh, a significant number of delineation. Heavy oil was very strong. I would say on a percentage basis we’re probably up equal in the two markets. And the two places that are financially powerful for us are the SAGD work and the Deep Basin work. The delineation work, it’s nice to be on the business, we want to be on location for our customers, they prove out their reserves and where they should drill, but those aren’t high revenue days for us, obviously. The high revenue is the SAGD work and as guys are drilling the Montney or proving out the Duvernay.
Jeff Fetterly - Peters & Co.: Okay. The commentary you made earlier about some of the fluid systems you’re looking to introduce in the carbonate side, is that customer driven or is that a market opportunity that you see?
Tom Simons: We acquired some IP in the winter. The technology is called mixed metal hydroxide. It’s mud technology that was used up in the Arctic years ago. We’d had sort of long-standing dialogue with a private company that had a series of patents around improving that technology. That business kind of stumbled last year. We ended up bring that IP and the Ph.D. chemist that founded that company in this winter and we’re going to use that technology in this carbonates application. We are also on location for one of the majors in West Texas because of that technology. It’s not going to move the needle for us but it’s a nice tool to have in the toolbox. It’s a great drilling fluid to use in Canada on surface hole where there’s prolific lost circulation and you’re a little bit handcuffed by what you can mix because you’re exposed to ground water. So that’s the story, Jeff, on what that is. It’s an additive technology for us is how I would describe it.
Jeff Fetterly - Peters & Co.: On the U.S. side you had some modest operating day gains on a sequential basis and market share gains. Were those gains primarily focused in the Permian?
Tom Simons: Mid-continent, Eagle Ford, and I would say the Permian is flat quarter over quarter. What we need in the Permian is to be able to make oil-based mud in that market, which we’ll be doing by April, and we need the lower cost of goods on barite, which we will have in the summer. So, no, I would say it’s in other markets, Jeff.
Jeff Fetterly - Peters & Co.: When we think about Q1, if the Permian is waiting for some of these ancillary pieces that come in April or the summer, should we expect on the U.S. side in Q1 a fairly flat operating days and market share profile then?
Tom Simons: Yeah, that’s about where we’ve been operationally. So I would say we’re in a holding pattern there. We think we know what it takes to unlock that. We’d like to make it go faster but it takes what it takes for us to get there.
Jeff Fetterly - Peters & Co.: Last question: From a production chemicals standpoint have you guys seen competitively any fallout or any response from, ah, as the Nalco(sp.) consolidation has ultimately progressed in the market?
Tom Simons: We see some talent available and we think it continues to offer us opportunities to target customers where Champion and Nalco might have been their two main suppliers and they want some competitive tension from their suppliers. So we see it as being positive for our business.
Jeff Fetterly - Peters & Co.: Okay. Thanks for the colour. Appreciate it.
Tom Simons: Thanks, Jeff.
Operator: Thank you. The next question is from Keith Schaefer. Your line is open, please go ahead.
Keith Schaefer - Private Investor: Thanks. Gents, great quarter. A couple questions here. Now I know obviously when we’re talking about horizontal drilling and the fact that we’re getting deeper and longer wells plays into your hands, is there anything else that’s going on in the technology side of fracking that fluids is working into? So I guess as fracking is improving and EURs are getting higher, taking out the deepening and the lengthening of these horizontal wells is there anything else in the technology side that’s impacting the fluids in wells and dollars per job?
Tom Simons: Yeah, there is, Keith. As operators are trying to recycle water as they frac and as operators want to frac with water not with oil-based fracs, ah, there’s increasing problems for them, there’s scale that forms underground, there is bacteria that develops, so there are all sorts of opportunities for us to apply our chemistry in the frac space, because of changes in the industry. There are also opportunities in infrastructure as refiners and customers are moving crude by rail. We have technology that can sweeten slightly sour oil and we’ve also got technology, so specifically that solid chemistry that can deal with paraffin breakout in these railcars. So, you know, there are things going on that are beneficial to our business.
Keith Schaefer - Private Investor: Okay. Can you give me a little bit of colour on your water business? You mentioned that right almost at the top of the call and said that’s a bit of an opportunity. Can you give us a little bit of colour on that, what’s happening in the industry, where do you kind of see the opportunity?
Tom Simons - President & Chief Executive Officer: Yeah, that was in reference to Clear Environmental. So Clear is a Canadian piece of our business that historically has provided service to operators to clean up drilling fluids and cuttings covered with drilling fluids either during or after drilling and what Clear is seeing in the market and capitalizing on is as operators are facing increasing scrutiny about how they manage water Clear is becoming a provider of sort of services around that. So we’ve had success with a couple of our big customers in basically managing their water conservation and how they deal with the board about groundwater and their practices in the field. So it’s not so much about our consumables business as our environmental services business. So it’s a nice development for us, Keith. It’s the right thing for the industry to do. It’s obviously becoming sensitive to how we impact water. And the point is that Clear doesn’t really have growth potential in the U.S. but it does now have growth potential within Canada by offering this additional service.
Keith Schaefer - Private Investor: I would think with the drought in Texas though that that should be a prime market for something like that. Why do you say there’s no potential for it in the U.S.?
Tom Simons: In the U.S. people take their waste, which is typically all oil-based muds, more to landfills, so there’s just, there isn’t a market that we’ve identified that we would be commercially successful in in helping operators the same way we do in Canada. Different environmental rules state by state. But I agree with you notionally. The drought in Texas, what the opportunity for us is is the operator needs to recycle water, it needs to not use new fresh water every frac, and by doing that there are more issues that develop inside of that water which need to be solved or treated with chemistry.
Keith Schaefer - Private Investor: Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the meeting back over to Mr. Neiboer.
Craig Neiboer : Well thanks, everyone, for attending the call. We had record results. We’re very pleased with that. We’ve raised the dividend and we look forward to continuing to grow the business and our next call next quarter. Thanks a lot.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.